Operator: Good day, everyone, and welcome to the Installed Building Products Fiscal 2024 First Quarter Financial Results Conference Call. [Operator Instructions] Please note, today's call is being recorded, and I'll be standing by if you need any assistance. It is now my pleasure to turn the conference over to Darren Hicks, Managing Director of Investor Relations. Please go ahead. 
Darren Hicks: Good morning, and welcome to Installed Building Products First Quarter 2024 Earnings Conference Call. Earlier today, we issued a press release on our financial results for the first quarter, which can be found in the Investor Relations section of our website. On today's call, management's prepared remarks and answers to your questions may contain forward-looking statements within the meaning of the federal securities laws. These forward-looking statements are based on management's current expectations and beliefs. These statements are subject to risks, uncertainties and other factors that could cause actual results to differ materially from those described today. Please refer to the cautionary statements and risk factors in our SEC filings, including our annual report on Form 10-K. We undertake no duty or obligation to update any forward-looking statement as a result of new information or future events, except as required by federal securities laws. In addition, management refers to certain non-GAAP and adjusted financial measures on this call. You can find a reconciliation of such measures to the nearest GAAP equivalent in the company's earnings release and additional reconciliation for EBITDA and adjusted EBITDA for earlier fiscal years in our investor presentation, which are available on our Investor Relations section of our website. This morning's conference call is hosted by Jeff Edwards, our Chairman and Chief Executive Officer; and Michael Miller, our Chief Financial Officer; and joined by Jason Niswonger, our Chief Administrative and Sustainability Officer. I will now turn the call over to Jeff. 
Jeffrey Edwards: Thanks, Darren, and good morning to everyone joining us on today's call. As usual, I will start the call with some highlights and then turn the call over to Michael, who will discuss our financial results and capital position in more detail before we take your questions. Our first quarter sales results reflected fundamental improvements in our single-family end market relative to the last 12 months and the continuation of healthy sales growth in our multi-family end market. We believe our customers are committed to meeting new construction home ownership demand by continuing to build new single-family homes in the current macroeconomic backdrop. We expect our multi-family backlog to keep [ branches ] in core geographic markets busy despite ongoing headwinds as it relates to multifamily unit starts. Longer term, we believe opportunities in our multi-family and commercial end markets remain attractive. I'm encouraged by the positive same branch sales growth we achieved in our single-family end market. The 2% year-over-year increase during the quarter was the first same branch increase since the 2022 fourth quarter. Single-family sales growth was supported by a growing proportion of sales from national production builders in the quarter. Our deep customer relationships, local market knowledge and an ability to align our pricing with the value we offer our customers were key to our first quarter single-family sales results. Our multi-family installation sales growth continued to be resilient with the apparent operational benefits of our centralized services-oriented model. On a same branch basis, multi-family sales in our installation segment increased 13%. In addition, across our branches, there continues to be an opportunity to sell IBP's installation services in markets that historically have not served multi-family customers. Strong profitability during the quarter continued to reflect our strategic priority to use our expertise to efficiently complete the most operationally and financially attractive jobs for our local business. We achieved record first quarter net profit margin and adjusted EBITDA margin for the 3 months ended March 31, 2024. I'm proud of our team's continued success, commitment to excellence and ability to consistently meet the needs of our customers. To everyone at IBP, thank you for your commitment, your hard work and a tough job always done well. Acquisitions continue to be our top priority as we consider all of our options for capital allocation. Despite our growth over the years, we believe a meaningful opportunity still exists for us to expand our geographic presence and diversify the mix of building products we install across our national branch network. During the 2024 first quarter and in April, we completed the following acquisitions: a Delaware-based installer of fireplaces into new single-family construction projects with annual revenue of approximately $5 million; and a North Carolina-based residential installer of insulation and complementary building products with annual revenue of over $6 million. Overall, while existing home inventories have increased from recent lows in 2022 based on average months of supply, the new single-family housing construction market remains healthy as newly constructed homes are effectively meeting the needs of a typical homebuyer. Additionally, the volume of multi-family units under construction continue to be near historically high levels, which is supportive of our installation business. We believe we are well-positioned for another year of strong operational and financial performance in 2024 as we continue to focus on profitability and effective capital allocation to drive earnings growth. Based on the U.S. Census Bureau, single-family starts year-to-date through March 2024 have increased by 27%, which we believe bodes well for future demand for our services. Additionally, there are a number of supportive dynamics for our industry that may help demand for our business grow longer term. Specifically in April, the U.S. Department of Housing and Urban Development announced the adoption of energy efficiency standards for the construction of U.S. housing and urban development and U.S. Department of Agriculture Financed Housing. [ FHA ] insured single-family and multi-family projects will be required to comply with the new generally more stringent energy efficiency standards. This requirement will become effective in 2025. We believe these new standards will be favorable for the environment as well as demand for our business. We intend to continue to focus on that which we can control, leveraging our strong customer relationships, experienced leadership team, national scale and diverse product categories across multiple end markets to help the company navigate through any future changes in the U.S. housing and construction market. I'm proud of our success thus far and continue to be excited by the prospects ahead for IBP and the broader insulation and other product installation business. So with this overview, I'd like to turn the call over to Michael to provide more detail on our first quarter financial results. 
Michael Miller: Thank you, Jeff, and good morning, everyone. Consolidated net revenue for the first quarter increased 5% to $693 million compared to $659 million for the same period last year. The increase in sales during the quarter was driven by growth in our residential and commercial end markets within our installation segment. Our single-family same branch sales increased 2%, and our multi-family same branch sales increased 13% during the first quarter. Although the components behind our price/mix and volume disclosure have several moving parts that are difficult to forecast and quantify, the results this quarter reflect our continued strategy of focusing on capturing the value of our installed services over job value. During the first quarter, price/mix increased 3.8%, while volumes decreased 1.4%. Our business achieved record results in the first quarter as measured by adjusted net profit margin, which was 10.1% and adjusted EBITDA margin, which was 16.9%. Our adjusted gross margin improved 200 basis points year-over-year to 33.9% in the first quarter as a result of pricing stability and improved operating cost efficiencies. Adjusted selling and administrative expense as a percent of first quarter sales was up 110 basis points to 19% due to higher variable compensation related to higher gross profit and EBITDA performance from the prior year period. Administrative expenses in the first quarter of 2024 were unchanged from the fourth quarter of 2023. Adjusted EBITDA for the 2024 first quarter increased 12% to a first quarter record of $117 million, and adjusted EBITDA margin reached a first quarter record of 16.9% compared to 15.9% for the same period last year. We continue to target full year long-term same-branch incremental adjusted EBITDA margins in the range of 20% to 25%. For the 2024 first quarter, the total same branch incremental adjusted EBITDA margin of 50% was substantially above our target range. Adjusted net income per diluted share improved 15% to $2.47. Although we do not provide comprehensive financial guidance, based on recent acquisitions, we expect second quarter 2024 amortization expense of approximately $10.3 million and full year 2024 expense of approximately $41.3 million. We would expect these estimates to change with any acquisitions we close in future periods. Also, we continue to expect an effective tax rate of 25% to 27% for the full year ending December 31, 2024. Now let's look at our liquidity position, balance sheet and capital requirements in more detail. For the 3 months ended March 31, 2024, we generated $85 million in cash flow from operations compared to $74 million in the prior year period. The year-over-year increase in operating cash flow was primarily associated with higher net income and effective management of working capital. In March, we successfully completed the repricing of our $500 million Term Loan B facility. Our new term loan has more favorable financial terms compared to our previous term loan, while extending the expiration date to 2031. The new term loan expiration date further staggers the repayment timing of our long-term debt, and we have no significant debt maturities until 2028. Furthermore, through interest rate swap agreements, we have fixed the interest rate on $400 million of our existing variable rate debt until December 2028, limiting our interest rate exposure. Our first quarter net interest expense increased to $11.9 million from $9.7 million in the prior year period. The $11.9 million in net interest expense includes a $4.1 million nonrecurring write-off of capitalized loan costs related to the Term Loan B facility repricing and a greater amount of interest income from higher interest rates and higher balances of cash and cash equivalents relative to the year ago period. At March 31, 2024, we had a net debt to trailing 12-month adjusted EBITDA leverage ratio of 0.97x compared to 1.42x at March 31, 2023, which is well below our stated target of 2x. At March 31, 2024, we had $340 million in working capital, excluding cash and cash equivalents. Capital expenditures and total incurred finance leases for the 3 months ended March 31, 2024, were approximately $23 million combined, which was approximately 3% of revenue compared to 2% for the same period last year. With our strong liquidity position and modest financial leverage, we continue to expand the business through acquisition and return capital to shareholders. IBP's Board of Directors approved the second quarter dividend of $0.35 per share, which is payable on June 30, 2024, to stockholders of record on June 15, 2024. The second quarter dividend represents a 6% increase over the prior year period. With this overview, I will now turn the call back to Jeff for closing remarks. 
Jeffrey Edwards: Thanks, Michael. I'd like to conclude our prepared remarks by once again thanking IBP employees for their hard work, dedication and commitment to our company. Our success over the years is made possible because of all of you. Operator, let's open up the call for questions. 
Operator: [Operator Instructions] And we'll take our first question today from Michael Rehaut with JPMorgan. 
Michael Rehaut: I wanted to start with the encouraging trends in single-family residential. As you mentioned in your prepared remarks, turning positive for the first time in 4 quarters. How do you see that trending for the rest of the year? Obviously, there's some pretty good starts data that you referenced. And just kind of curious also on the mix between large builders and small builders, if you're seeing any difference there in terms of your customer set?  And lastly, if you could kind of also hit on backlogs for multi-family, how do you view that in terms of the health maybe as you look out for the rest of the year? 
Michael Miller: Sure, Mike. This is Michael. Thanks for the question. Yes, we feel very good about the inflection in single-family, quite frankly. The trend continued to improve throughout the quarter and into the second quarter, particularly with the production builders. As we previously stated, it's our belief that the vast majority of growth in single-family will come this year from production builders. And we're definitely seeing that in our overall revenue with the production builders. I think it's worth noting that when the public builders that have reported so far their first quarter results, backlog is up 16%, 17%, and orders were up over 30%. What's interesting is, historically, we could rely specifically on sort of backlog and orders as indicators of demand from the production builders, but because as we all know, there's been a leaning in towards more spec inventory from those builders, which doesn't really show up in these numbers. That creates even more opportunity than what we think is there. And that is a direct result of, I think, what we're seeing, even though it's only 3 months of information from the Census Bureau. And as Jeff pointed out in his prepared remarks, with single-family starts up 27% for the first quarter. All of that is just a really strong indication to us that we're going to continue to have this very positive inflection in single-family as we go through the course of the year. And what's interesting, too, and we talked about this the last quarter as well, is that one of the first things that we do from an installation perspective is insulation and then the other products come later in the build cycle of the home and that has absolutely been the case within our revenue. We saw very strong growth overall in our fiberglass insulation growth and total insulation growth in the quarter. And that trend, again, continued to accelerate as we went into the second quarter. So that strength is very positive. The other products, quite frankly, were weak in the quarter, which is exactly what we would have expected, and we'll expect strength from the other products as we go towards the back half of the year and how this get completed. On the multi-family side, I mean, as we've talked, we do think that the multi-family market is going to be challenging for -- in 2025. Clearly, multi-family units under construction continues to be at a highly elevated pace. We were very pleased with the same branch sales growth that we achieved in multi-family during the quarter. Our backlogs continue to be strong, and we believe there is -- continues to be, particularly as we go into '25, a lot of opportunity for us to gain share in markets that are core markets for us in single-family, but we are significantly underpenetrated in the multi-family opportunity. And our team is doing an excellent job of going after those opportunities, both from an insulation and from the other products that we install so that we can increase significantly our take per unit in a multi-family project. So overall, I mean, we feel very good about it. We acknowledge there's definitely headwinds in multi-family. We believe that for us, and some of the initiatives that we've taken over the years as it relates to multi-family, we'll be able to resist, if you will, some of those headwinds in multi-family, particularly as it comes into '25. But there's no doubt that there will be a challenge there. Fortunately, single-family, as we said, is -- looks very solid, and that is 60% of our overall revenue. So when you have such a strong outlook for 60% of your revenue, it's easy to be confident. 
Michael Rehaut: Right. No, no, that makes a lot of sense, and I appreciate the detailed answer there, Michael. Secondly, your price/mix remains positive. You highlighted this quarter, and not only this quarter but perhaps the expectation over the next few quarters for the production -- larger production builders to really drive the single-family residential business, which has -- you have highlighted that as sometimes a headwind to mix â€“ also -- and perhaps also a slight headwind to gross margins, all else equal. This quarter the gross margins were very solid. You're basically now effectively 4 quarters in a row of plus or minus 34%. So I'd love to get your sense of on the price/mix front and the gross margin front? It's a positive type of gross margins here, your take on those being sustainable, price/mix, how might that be impacted as well by a bigger portion potentially of production builders? Just any thoughts over the next couple of quarters as those trends continue to unfold? 
Michael Miller: Yes. Our perspective is definitely consistent there that we do, as I said, and we continue to expect this trend to continue in terms of the growth within the production builder business at a rate much higher than the other end markets that we serve, that, that will be a headwind to price/mix. Obviously, it's a contributor to volume. So they sort of offset one another.  And as we've previously talked about, that work does come in at a lower gross margin. So we would expect that over time, it would pressure gross margin. But as we've talked about before, it does come in at a good EBITDA contribution margin in that sort of 20% to 25% range that we've talked about for incrementals. So we feel very good that the business is performing exactly as we've expected in terms of the improvement in the single-family revenue, particularly as it relates to the production builders, [ insulation ] coming first and then the other products to come in the back half of the year. And then we also feel very good about the performance, as I said, of the multi-family business. And quite frankly, on the commercial side, even though our disclosed metric for commercial sales growth on a same branch basis was slightly down this quarter, that was really driven by our light commercial business, which we flagged last quarter that we expected it to be weak. We do expect it to be weak through the rest of the year. But our heavy commercial business continues to perform well, both from a revenue growth and from a margin perspective. So the recovery in that business is very solid and continues to perform well. So the business is -- as I said, it's running the way we expect this to be running, and we feel very good about that. 
Operator: Our next question will come from Stephen Kim with Evercore ISI. 
Stephen Kim: Yes. Just as a cleanup to what Mike just asked about the production builders. One question I had is, do you have a preference generally between builders' spec production versus their build-to-order production? 
Jeffrey Edwards: That's a great question. And I mean, obviously, they all need to be insulated and insulated to the same code, depending upon the code in their market. But a very nice thing about spec inventory is the consistency associated with it, so that you have a very level production schedule, whereas build-to-order sometimes has a lot of variability in it. And the smoothness of the spec building really helps balance out demand and the labor as we're provided into the job site. So all things being equal, we would probably lean more towards spec, but it's all good business. And clearly, it's a business we want to go after. I don't know if you want to add anything to that. 
Michael Miller: Yes. Well, I would just say, I mean, it's -- despite the uptick in interest rates or change in sentiment, let's say, from the Fed and up to taking interest rates, it's been encouraging. There was a momentary kind of stutter in traffic, but in conversations with the production builders and that -- which has been disclosed. I've heard the traffic count now is still being characterized as kind of a [ B+ ]. I wouldn't really talk about that in the first question -- answer to the first question, but the fact of the matter is, and it's been kind of consistently up and to the right a bit, and that helps with planning in that regard as to build [ to ]. 
Stephen Kim: Yes. Yes, I get that sense as well about your grade scale, gauging the market conditions. But one question about the spec allowing you to have greater consistency and smoothness and all that. I'm curious as to whether or not that reflects itself or is included in the way you sort of bid on jobs or sort of negotiate with the largest spec production builders? Would it be fair to think that maybe the benefit that you get from there is something that finds its way into your pricing conversations and that maybe you try to split the difference and basically, it's a win-win? Is that a way to think about it? Or is this something that really doesn't enter into the pricing conversation? 
Michael Miller: No, it really doesn't enter into the pricing conversation. It's more of just overall -- they give us their production schedules of what they expect and when they expect. Now that's not a guarantee. It's just an expectation to allow us to plan. And then we would bid based on that.  I would say though that we target, as you would expect, certain builders in certain markets based on where we believe they have the right subdivisions, they're selling the right product and product that we think will sell at a good, solid pace so that we stay busy and active with them. So it's a combination of a lot of things, but it doesn't really reflect in the overall pricing structure, quite frankly. 
Stephen Kim: Okay. The second question relates to code changes. So I know that you alluded to the recent USDA actions there sort of migrating to a 2021 code by next year. I'm curious as to whether or not you could quantify for us, like what kind of a benefit you think that might be for your revenues on a per home basis as you were to sort of -- I know that you've got homes that are being built, all different kinds of standards. I know there's a lot of diversity. Yet you also probably, I would imagine, kind of know on average for where you build what that might represent? And I'm wondering if you think it's kind of in that kind of 10%-ish type range once the new change is going to effect? And whether or not you think that a further migration to 2024 would be incrementally beneficial to you or if it actually would be no better than 2021? 
Michael Miller: Yes. So we would expect that any migration to '24 would not be incrementally different necessarily from '21. But to answer the first part of your question, we would agree with your assessment that when we look at the whole country and our estimate for looking at the various codes that the country and municipalities, jurisdictions are on, combined with them balancing out a little bit because there are plenty of builders in certain jurisdictions that might be on the 2009 code that are actually already building to the '21 code. So there is a bit of art, if you will, in terms of estimating it.  We do think that from a -- if you look at our single-family insulation revenue, that it is probably low double-digits, call it 10% benefit that we would experience by going the whole country going to the '21 code. Now that being said, there is some -- because they're already building the '21 codes that there's 0 benefit. And in some markets where they're at the '09 code in building just to that code, where it could be 20% plus kind of the benefit. 
Operator: Our next question will come from Trey Grooms with Stephens. 
Trey Grooms: Maybe could you talk a little bit about the thoughts on recent price increases we've seen from manufacturers, how that's going so far as far as timing and looking at the price cost, should that drive it higher in 2Q or could it take a little longer to flow through? 
Jeffrey Edwards: Trey, this is Jeff. Yes, as you know, all 4 manufacturers at this point have announced -- One of those manufacturers has kind of delayed at least in terms of their announcement, both slightly the amount but also the timing on the increase, more than likely others may well follow. We'll see.  Again, the market is really pretty tight from a supply standpoint still. And as you know, it can also bring on a plant in Texas, not too long here in the future. But it will provide a little bit of relief, but to say that all of a sudden, there's a free flow of material and that there isn't support more than likely for this increase would be probably a misstatement. 
Michael Miller: We and others will obviously have to react in that [indiscernible] to the price increase. 
Trey Grooms: Sure. Okay. And then, Jeff, maybe if you could update us on your capital allocation? I mean, in the quarter, you did a few deals. So you've raised the dividend, no buybacks in the quarter, but can you talk about maybe the M&A pipeline and with no buyback in the quarter, maybe how you're kind of balancing those 3 kind of uses of cash, if you could? 
Jeffrey Edwards: Yes. I don't say this a lot, but I would say that the pipeline is robust. Though I think we've also said at times that there's not an absolute rhythm to these things. And sometimes, they're bumping along. Sometimes they even fail in diligence. We've had a couple of deals that doesn't happen all that often, but a couple of deals of the last 6 or 8 months that didn't quite get there. And what's disappointing on the one hand, you've spent a lot of time on it and you thought you were close to finish line, but there's certainly not a lack of opportunity out there, both in -- as what we call regular way deals, which are kind of fiberglass installers that we'd like to install or like to acquire, but also in our other products and even in some cases kind of adjacencies that we'd like to really take a hard look at. 
Trey Grooms: And just out of curiosity, when they don't get there, is that generally due to valuation expectations kind of being out of whack or is there other reasons? 
Jeffrey Edwards: Usually other reasons. Because I'm saying these deals are down the road even from an LOI perspective, and there's something that we don't want to inherit, let's just say, whether it's a business practice or something else, right, so... 
Michael Miller: And it could be financial performance. 
Jeffrey Edwards: And it could be financial performance even during the diligence period. 
Trey Grooms: Yes. Got it. Okay. So no real change to the pipeline and the outlook here for deals? 
Jeffrey Edwards: No. And I think we are looking a little harder at some adjacencies, we think makes sense. 
Trey Grooms: Okay. Any color you want to give us on that? 
Jeffrey Edwards: Probably not at this point. When we close on one, you can read about it, right? 
Operator: Our next question will come from Susan Maklari with Goldman Sachs. 
Susan Maklari: My first question is going back to the gross margin. Michael, you mentioned that we will see a ramp in some of those other products as we move through the year. As you look at the backlog and you think about if that's going to come through the business, from [ insulation ] to some of those other products, what does that imply in terms of that gross margin performance? And then also any implications as we think about the light commercial getting a bit weaker and the heavy commercial perhaps staying fairly healthy? 
Michael Miller: Yes. So, that's a great question. On the other products, as we've talked before, they do have lower gross margin than insulation. And actually, we saw a good improvement in the gross margin of the other products during the first quarter, but it was actually better on insulation than it was on the other products. So that improvement did help gross margin during the quarter. We would expect that as we go through the quarter in the -- or excuse me, through the year and the other products continue to get installed in houses that we've already insulated, that, that would weigh on gross margin. However, we believe that there is a lot of room to continue to increase through '24 in the single-family side, and it will definitely be a balance between the insulation growth relative to the other product growth. So as long as -- and this is what we expect will continue to happen is that we had continued to have strong relative single-family or -- excuse me, while single-family insulation growth relative to other products, it will just be more a question of them sort of catching up quite frankly and weighing a little bit on gross margin, but we feel pretty good about the ability of the insulation business to continue to grow on the single-family side to continue to grow at a pretty decent rate now. So that's positive. On the commercial side, the light commercial business is a very good margin business. But the continued improvement in the heavy commercial business, we believe, will continue to offset the weakness in the light commercial business from a gross margin perspective. 
Susan Maklari: Okay. That's great color. And then maybe when we also think about the conditions on the ground, the move to the production builders and the spec building in there, what does that imply in terms of SG&A and your ability to leverage some of that overhead cost? 
Michael Miller: Yes, that's a good question. I mean we do get much better selling leverage and G&A leverage from the volume from the production builders, which is why even though the gross margin is tighter, we feel good about the EBITDA margin contribution. So we should get more OpEx leverage. As we pointed out in our prepared remarks, the first quarter G&A expense was basically exactly as much as it was in fourth quarter of '23. And that's the way that G&A runs, especially when the business is continuing to perform. There's no reason to reduce G&A say at the branch level, when it is continuing to perform even though where the first quarter is always our lowest seasonal quarter in the year. 
Operator: Our next question will come from Ken Zener with Seaport Research Partners. 
Kenneth Zener: I'd like to just take a little step back here and talk about your business growth prospects relative to your business mix. So when you guys slide, we are looking at established versus developed markets, your takes [ 4,500 ] on established markets versus [ 2,200 ] on developing markets -- what is -- it -- starts are up, let's say, 5% or 10%, whatever the number is, I'm really interested in the ratio of how you think your non-insulation penetration is augmenting, what we see in terms of just the baseline of starts? Because you obviously have a lot of room there to grow in a lot of these smaller categories that are different than insulation. Do you guys tend to get, let's say, a 20% lift to what we see in starts from that penetration or could you give us -- just kind of walk us through that a little bit here as you guys continue to focus on that M&A category? 
Michael Miller: Well, Ken, it's highly dependent on the market and the products that we're installing because it's not as if we take an insulation-only market and then the next day start installing all of the other products. And on that slide that you're referencing where we have twice the sales per permit in a mature market or a developed market or established market relative to a developing market, there are multiple things that go into that. It's not just the fact that we have greater penetration of the end products. But what we find is that when we have a greater penetration of all of the products, right, we also have much higher market share in that market.  And as a consequence, you have a higher revenue per permit in that individual market. So there are a lot of things that impact there. But if you're thinking of adding a, say, 1 or 2 of the other products into a market, it takes a while to build up the market share to get -- and it's rare that we would have this identical market share that we have in insulation with the other products. So it's going to be -- there are a lot of puts and takes there. But I mean, it's something that's going to add, call it, over time, 5%, 10%, 20% revenue to that overall brand. 
Jeffrey Edwards: Well, theoretically, it is possible to have the same share in those products. 
Michael Miller: It is. 
Jeffrey Edwards: And in some markets, we perform in those products -- The products other than insulation. But I guess the other comment I'd make is when you closed out your question, Ken, you said as an M&A strategy, I would say this is as much of an organic strategy, probably more than it is an M&A strategy in a lot of ways. 
Michael Miller: When it's an M&A strategy, it's a real small tuck-in acquisition that then grows the organic operations not always, but a lot of times. 
Kenneth Zener: All right. Appreciate that. And then I know you touched on fiberglass price trends a little bit. But with volume recovery, can you talk about the potential upside, downside related to tight supply and how you feel you're mitigating potential risks of having to go to third-party supplier channels if volume increases? Again, we don't have any margin surprises? 
Michael Miller: Yes. I mean, we actually -- I think we learned a lot of lessons from the last couple of years in terms of just how tight material was and the stress that it caused on the organization. And we've done a lot of things internally to improve our operational efficiency in terms of material management, material ordering and also working very closely with our suppliers to make sure that we're as efficient as we can in terms of getting the materials that we need.  We feel very good about our ability to do that and to manage the process. Are things going to -- are things tightened or are they probably going to get tighter, particularly as single family continues to ramp up? Yes. But we think some of the investments we've made in people and procedures around that have really improved our ability to mitigate the necessity of going to alternative sources for particularly fiberglass. 
Jeffrey Edwards: It doesn't mean there aren't hiccups. 
Michael Miller: Right, of course. 
Jeffrey Edwards: I mean we still have that. We -- to Michael's point, I guess a combination of Jeff [ Hyer ] and actually Brad Wheeler, our COO, who was not at the time our COO were kind of [ judged on ] this ball, and we've added a wingman and so neither one of them now are having to handle it. We've got to guide full time, kind of playing traffic comp as it relates to fiberglass. 
Kenneth Zener: Could you perhaps be a little more specific? I realize if there's a secret sauce, you don't want to give it away. But from the outside, if supply is tight, you just could [ get it ]? Or is it that you're bidding more in line with your known supply? Could you expand a little bit? 
Jeffrey Edwards: Yes. We are -- as we've talked at numerous occasions, the -- we always want to value our services properly and align that with an appropriate amount of volume and an appropriate amount of volume comes with knowing what our supply is going to be and making sure we're focusing on servicing the customers that are our highest priorities. So it is a question of just understanding where supply is going to be and what the volume of work we want to do. But I would say this, that supply though is definitely not curtailing our bidding activity and landing jobs for those jobs that we want to bid [ and ] I want to get. 
Kenneth Zener: It's an important clarification. 
Operator: Our next question will come from Mike Dahl with RBC Capital Markets. 
Michael Dahl: Can I go back to the mix dynamic a little bit? And I just want to be clear, because I understand the narrative and expectation for the production builder mix. But quite frankly, if we look at the starts growth on the single-family side, it's not all that different than what the public builders are recording. So it does seem like the privates are actually holding their own better than a lot of people might have thought. So in your quarter and what was reflected in the gross margin in the quarter, were you already seeing a meaningful shift towards production builders or that's something that you're still trying to talk about as kind of a prospective? Haven't seen it yet, but keep in mind, we still do expect this through the year and into the next year. 
Michael Miller: Yes. I think there's 2 part answer to that question. We saw the inflection towards production builders in January, and we're continuing to see that inflection. It's our belief that while the starts being up 27% in the first quarter is sort of reflective of backlogs and orders from the builders, starts, right, would be fully reflected, not just of orders or backlogs but also spec, right?  So the spec building shows up in starts, but it doesn't show up in backlogs and orders. So as a consequence, it's our belief that the production builders, which are heavy -- the ones that are heavy spec are going -- their starts numbers are stronger than what they're reporting, right? Because of that, the specs don't show up in really much of anything other than permits and starts, right, and obviously, completions and sales when it comes to the end, right? And so from our perspective, what you're seeing in backlog and order reporting from the builders is somewhat understating the level of starts that they're creating at this time because of that spec inventory. So we -- again -- but I don't want to dismiss the importance of the regional and local builders because they're still building along at a good pace. It's just that they're not accelerating at the rate that the production builders are. 
Michael Dahl: Okay. Yes. Got it. I mean I hear you -- yes, it seems like the privates might be holding on a little bit better. [ Not ] that's a bad thing, right? Just from a margin standpoint, we want to make sure that setting. And then on the multi-family dynamic, units under construction did just inflect negative. I think if we look at the rate of kind of starts versus completions and run that out, like you're probably going to be in a position where units under construction are into fourth quarter and into 25% -- down 20%, then 25%, probably down 25%, 30% in terms of under construction. So I know that it's you with a lag, but again, from kind of a level setting exercise, when you talk about challenges next year, what environment are you thinking about as far as your baseline for how much of a headwind that could be to you? 
Michael Miller: Well, I think the macroenvironment is definitely going to have a significant headwind similar to what your thinking is, right? We would expect that multifamily certainly from a permits and starts perspective is going to normalize to historical trends this year, right? It already is, although permits in the first quarter for multifamily have averaged about [ 430 ], which arguably is above trend. And we would expect that going into '25 in the first part, certainly, the first quarter, you're still going to have some carryover of the units under construction. So I think the whole industry is going to be facing a market in '25 that looks more like what multi-family has looked like for the 10 years prior to COVID. And that's -- honestly, that's a very good environment for us to be in. Clearly, it's an adjustment for the market to go through.  But what we believe and what gives us a lot of optimism is it's happening at the same time that single-family is accelerating in the right direction. And again, single-family is, by far, our largest end market at 60% in multi-families, 15%, 16%, 17%. So we feel very good about the ability of the single-family strength to offset the headwinds on the multi-family side. And as we said earlier, our ability to perform above the market opportunity by gaining market share in multi-family, particularly with -- through the cross-selling of other products. 
Operator: Our next question will come from Jeffrey Stevenson with Loop Capital. 
Jeffrey Stevenson: Congrats on the nice quarter. So Mike, you talked about opportunities for multifamily share gains in 2025 from expanding your successful centralized model from your CQ insulation acquisition in key IBP markets. How long will it take to get this centralized model for things like bidding labor and payments across your branch footprint and do you have a long runway? 
Michael Miller: We do have a pretty long runway. There are plenty of our markets that don't use CQ or have the benefit of CQ that already have great relationships and multi-family market. So we would never put that model into those markets. We would like them to continue to be kind of independent, if you will, of the CQ model, so to speak. But the team at CQ has identified markets that have great opportunity for them where we have strong single-family market share and lower weak multi-family market share, and they're working on performing on that strategy each and every day, and they're making incremental progress every single month on expanding their sort of bidding and managing network within that identified portion of our footprint. 
Jeffrey Edwards: It's really -- if we make a smaller acquisition in the market, let's say that we weren't in, it's a matter of kind of growth of the branch really -- and it's really a labor thing. So one gentleman who's been in business for a long time that works for us, as you know, ends up -- one of the things is you have [ he ] who has the labor wins, right? And if you have the work, you can get the labor. But if you get the work, you've got to get the labor. And so it's just -- it takes a little bit of time, but that's really the kind of the play that we're running with CQ in those markets. 
Jeffrey Stevenson: Okay. Great. No, that's good color. And then I was wondering if you could talk about the opportunity with spray foam over the coming years given the long-term industry demand tailwinds from changes in building codes and then on top of that, the tight fiberglass supply environment? 
Michael Miller: Yes. It's our belief that, particularly if the whole country doesn't effectively go to the '21 energy code that it will definitely mean greater penetration of spray foam. It's yet to fully be seen exactly what that will look like, whether it's a hybrid home, that's part fiberglass, part spray foam.  We do think that fiberglass will continue to remain the dominant product for residential insulation. But we would -- we definitely can see a pathway towards greater usage of spray foam. But to be clear, spray foam is the most technical thing that we install, and it requires the highest trained installers that we have, and it also requires fairly expensive equipment that is on a very long lead time. And as a consequence, you can't just flip the switch overnight and then convert things to spray foam. It is a transition and it takes time, which is why we think the way that the FHA, VA and potentially Fannie and Freddie coming in and requiring installed to the '21 energy code being pushed out, if you will, to probably '25, '26 is constructive because it gives the industry time to size up, if you will, for this new spray foam opportunity. 
Operator: Our next question will come from Keith Hughes with Truist. 
Keith Hughes: Just back to multi-family real quick. You gave your view of the market, which has been pretty consistent in terms of units. I guess, on margin, the margin your competitors are reporting in multi-family was just extremely high, given it was such a hot market, and that's obviously going to come off. Can you quantify or directionally give us what -- is that part of your future mix and what that could potentially do to margins or EBITDA? 
Michael Miller: Yes. I mean, our team has done a great job of maintaining the margin profile within the work that we're bidding. I mean, clearly, as the market gets tighter, there'll continue to be some pressure there. But our team is doing an excellent job of really identifying the right jobs, the right opportunities and making sure that we get paid for the value that our services provide. I would say that there have been a couple of questions around this. We have consistently talked about full year adjusted gross margins in that 30% to 32% range. Admittedly, we have been consistently for multiple quarters above that level. But our thinking long-term relative to that 30% to 32% really is informed by, one, this growth in production builder business that we've been talking about, and that multi-family, again, as it goes back to a more normalized level of, call it, 300,000 to 400,000 units. There will probably be some level of pricing pressure there, but our team has done an excellent job of resisting that. And I think our performance in that business demonstrates their ability to be successful. 
Operator: Our next question will come from Phil Ng with Jefferies. 
Collin Verron: This is actually Collin on for Phil. I just wanted to go to price/mix. It was strong in the quarter, especially with that mix headwind from the production builder side. I guess just with the manufacturers announcing the price increases, any color as to how those conversations have gone for you to your customer base going forward? Should we expect the contribution from pricing to really build in 2Q? Any color there as to how you're thinking about pricing going forward? 
Michael Miller: Yes. So when we think about the quarter, I mean, it seems like a long time ago, but the market did take price -- material price increases in the first quarter. And obviously, which I think our team has done a great job of doing is, we're trying to match selling price, installed price with that increase in material price, which then comes through the price/mix calculation. To the extent that, and as Jeff said, we think that there's -- material continues to be tight. It's a little early to tell what's going to happen with this next announced price increase. But we will work with our customers to make sure that there's a fair balance between rising material prices and where we're going from an install price perspective. Now that being said, we would continue to expect price to be positive as we go through the year. It's just a mix component that will weigh on the price/mix because obviously, we had a strong performance in multi-family, same-brand sales growth in the quarter, but it is decelerating from the rates that we saw in previous quarters. And as single-family production builder business ramps up and takes the reins of growth, if you will, from multifamily that will impact negatively the price/mix -- the mix component of the price/mix calculation. 
Operator: Our next question will come from Adam Baumgarten with Zelman & Associates. 
Adam Baumgarten: You talked about residential same-branch growth accelerating year-to-date. Have you seen maybe on a monthly basis, positive year-over-year volumes in single-family at this point? 
Michael Miller: Yes. And I mean April is -- as you may or may I know, I mean April was a weird month because it had 2 extra selling days in it. But even adjusting for those 2 extra selling days, we felt very good about the single-family growth in April. 
Adam Baumgarten: Okay. Got it. And then just on the manufacturer price increases, we've got 2 effectively this year so far. Do you expect further increases maybe in the back half of the year at this point given the tightness? 
Michael Miller: If Jeff [ Hyre ] were in the room and able to answer, he would probably say something along the lines that they may not be able to help themselves. But there probably is inflationary pressures still. So is there a chance, yes, I think so. 
Adam Baumgarten: Okay. Got it. And then just lastly for me. Just anything weather-wise that impacted the quarter negatively and maybe push some of the volume out into subsequent quarters? 
Jeffrey Edwards: Yes. I mean weather in January and February was a little challenging, but March was much better. So I would say nothing of significance that really moved by one way or another. 
Operator: That will conclude today's question-and-answer session. I will now turn the call over to Jeff Edwards for any additional or closing remarks. 
Jeffrey Edwards: Thank you for your questions, and I look forward to our next quarterly call. Thank you. 
Operator: This does conclude today's program. Thank you for your participation. You may now disconnect.